Operator: Welcome to the Advance Auto Parts Fourth Quarter 2015 Conference Call. Your lines have been placed on listen-only until the question-and-answer session of today's call. [Operator Instructions] This conference is being recorded. If you have any objection, you may disconnect at this time. Before we begin, Zaheed Mawani of Investor Relations will make a brief statement concerning forward-looking statements that will be made on this call.
Zaheed Mawani: Good morning, and thank you for joining us on today's call to discuss our fourth quarter results. I'm joined this morning by George Sherman, our President and Interim CEO; and Mike Norona, our Chief Financial Officer. Before we begin, I would like to remind you that our comments today contain forward-looking statements we intend to be covered by and we claim the protection under the Safe Harbor provisions for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address future events, developments or results and are subject to risks, uncertainties and assumptions that may cause our results to differ materially. Our comments today will also include certain non-GAAP measures including certain financial measures reported on a comparable or adjusted basis to exclude impacts of cost in connection with the integration of General Parts International and the recurring amortization of General Parts’ intangible assets. Please refer to our earnings press release and accompanying financial statements issued today for important information and additional detail regarding these forward-looking statements and the reconciliation of the non-GAAP measures referenced in today's call. The company intends these forward-looking statements to speak only as of the time of this conference call, and does not undertake to update or revise them as more information becomes available. Now let me turn the call over to George, our Chief Executive Officer. George?
George Sherman: Thanks, Zaheed and good morning, everyone. We will take a different approach on today's call. First Mike and I will briefly address fourth quarter performance. Then I will share my perspective regarding our outlook and how we plan to drive improved execution and results going forward. We will leave plenty of time at the end for your questions. Let me get right into it. Mike will address our fourth quarter results in more detail in a moment, but at a high level our worse than expected top line performance reflected both the negative impact of warmer weather and the continued impact of our efforts to move quickly to capture efficiencies through integration which inadvertently led to disruption in servicing our customers and supporting our stores. This combination of factors resulted in negative comparable sales of 2.5%. We are not satisfied with these results. We have, however, made considerable progress and believe many of the major execution challenges are behind us. That being said, we still have work to do to drive efficiency across the company. As I said, we have made progress and let me be clear that we fully understand that we are in improvement mode. Several big parts of integration are now completed including corporate consolidations, the integration of our field teams and pricing alignment work. In addition, we have completed the first major tranche of the CARQUEST market conversions and substantially all of our product alignment work. We also made significant progress in our cost cutting initiatives in 2015 delivering over $50 million in incremental cost synergy savings and driving efficiency by closing approximately 80 underperforming stores. Through actions to-date we have mitigated the disruption caused by integration work and we are moving ahead with our plans to deliver improved and more consistent performance. Going forward, we will focus on continuing the CARQUEST market conversion program and building on our prior success which has enabled us to deliver mid single-digit comps across multiple markets where conversions have only taken place. We're also doing the work to align our supply chain and stores systems. As we exit 2015, we begin to see improvement in our store level availability. In the field, our teams are refocusing in our base business and away from the integration efforts that dominated much of 2015. We are clear eyed about the work that lies ahead, but confident in our ability to enhance our efficiency, performance and profitability. In a few moments, I will talk about our plans to implement more field-centric organization, drive additional cost reductions and relentlessly pursue opportunities to increase efficiency across our operations. But first let me turn it over to Mike to provide some brief context on the quarter. Mike?
Mike Norona: Thanks, George, and good morning everyone. We delivered comparable cash EPS of $1.22 for the fourth quarter despite the softer than expected sales. This result included a $0.03 hit from foreign currency and a $0.03 benefit from the incremental synergy realization. Fourth quarter net sales declined 2.6% with comparable sales down 2.5%. Comparable store sales were negatively impacted by approximately 90 basis points due to the timing of the New Year's day holiday which was in our 53rd week last year and 46 basis points of negative foreign currency impact partially offset by favorable impact from our CARQUEST store consolidations. The unseasonably warm start to the winter impacted both our commercial and DIY businesses particularly in batteries and cold weather related hard parts categories such as starters, alternators and related products. With fewer customers seeking cold weather products this also resulted in lower add-on sales. Partially offsetting this performance was continued strong results in our brake business across both our commercial and DIY businesses. In our commercial business, performance was primarily driven by mid single digit sales declines in our Great Lakes and Plains cold weather markets while the mid-South and Southeast fared better. The softness in seasonal category sales was partially offset by a modest increase in our commercial ticket size and the strength I noted in our brake business. Nonetheless, we continue to expand our customer base with our national accounts business growing in the mid-single digits and TECHNET, which partners with independent repair shops adding 600 new members in the quarter. Within DIY strong brake results only partially offset the softness in battery and battery accessory sales as well as other winter seasonal categories resulting in a sequential decline. Despite the softness, we continue to expand our Speed Perks program which now has over 10 million members and will be an important driver of our ability to increase customer loyalty going forward. Our gross profit rate decline of 15 basis points was primarily the result of supply chain expense deleverage due to the comparable store sales decline partially offset by lower shrink expenses. Our fourth quarter comparable SG&A rate increased 33 basis points year-over-year primarily due to the expense deleverage from the comp store sales decline partially offset by our continued cost reduction initiatives and disciplined efforts to lower administrative and support cost. All in, fourth quarter operating income on a comparable basis decreased 8.2% to $157.6 million and a comparable operating margin decreased 48 basis points over the same period last year to 7.7%. Free cash flow for 2015 was $454.9 million versus $480.5 million last year driven by a decrease in our AP ratio to 76.7% versus 78.6% last year. This decrease was principally driven by transitional inventory growth resulting from our product integration work, the CARQUEST consolidations work and the growth in the Worldpac branches. Turning to the balance sheet and leverage, adjusted debt to EBITDAR was 2.5 times at year end. During the quarter we have paid $80 million in debt and remained at or below our maximum stated leverage ratio of 2.5 times. We are committed to preserving a balanced and disciplined approach to capital application to drive shareholder value while maintaining our investment-grade ratings. We remain focused on taking the actions required to achieve our 12% adjusted operating income margin target. To reach this objective we will deliver improved gross margins and reduce cost by approximately 100 basis points through a combination of G&A reductions and improved store productivity. This includes capturing the remaining $50 million of our previously disclosed $160 million in cost synergies. Before I turn it back to George, let me touch briefly on the remaining integration initiatives we are pursuing in 2016. We're focused on two areas. One, continued execution of CARQUEST market conversion programs and two, development and testing to enable us to combine our AP and CARQUEST supply chain and store systems into one network. We're also pursuing supply chain optimization work including the closing of our Sutton, Massachusetts distribution center. In conjunction with these efforts, we expect to incur additional one-time costs of $75 million to $90 million in 2016 including $65 million to $75 million related to ongoing integration efforts and $10 million to $15 million related to supply chain optimization work. We are pleased with our progress in our CARQUEST conversion markets nearly all of which are experiencing comp increases which average in the mid to upper single digits in the fourth quarter. This year we plan to execute approximately 350 market conversion projects. In terms of our store network and supply chain projects, we expect to begin in-store system pilots by early quarter two and supply chain pilots in early quarter four. As previously indicated, full-scale rollout is expected to be in 2017. With that, let me turn it back to George to discuss our plans for 2016 and beyond. George?
George Sherman: Thanks, Mike. We have a tremendous platform across commercial and DIY and I am confident in our ability to drive improved profitability and generate increased shareholder value. As I noted at the outset, our plans include implementing a more field-centric organization to drive increased customer satisfaction and improved repeat business and revenue while reducing cost and relentless pursuing opportunities to drive additional operational efficiencies We are company made up of approximately 5,300 hyper local businesses. In order to be successful, we must meet the needs of our customers at a local level by aggressively empowering our teams to make decisions in their local markets and providing the appropriate operational infrastructure to executive against those decisions. Developing a field-centric system is not a concept, but it’s something that we are in the early stages of executing. There are three key pillars that underpin our objectives as a field-centric organization. One, providing superior availability to ensure we deliver the right part, at the right place, at the right time. Two, providing the right infrastructure to achieve outstanding customer service with flawless execution. And three, providing the right tools and incentives to develop focused and inspired teams with the desire to win. Let me share a few insights on each. Superior availability, having the right part in the right place at the right time is essential to winning a great commercial business and also benefits DIY. Because we run approximately 5,300 local commercial businesses, serving the customer requires input from and empowerment of local store teams. Trying to manage those 5,300 businesses with central office is both inefficient and ineffective. We are changing that. In order to drive more effective local execution, we are investing to improve inventory coverage to support our stores while simultaneously developing a field-centric process that empowers the general managers of the stores to make decisions and tailor their inventories to best serve the unique local customer base. We are piloting this process in five regions and while it is very early in the program, we are seeing high levels of store engagement and believe it will translate to improved commercial sales over time. The goal is clear, having the right part in the right place at the right time. We will continue to leverage our in-market hub and super-hub stores and expand delivery frequency to stores from our DCs, but we will do so on the most efficient basis. We are making sure to rethink our supply chain and delivery frequency by first determining the best answer for each store and its customers. [indiscernible] provide the best in-stock and availability and therefore the best overall service for our customer. Actively determining the optimal goal for the stores, we can then determine the most effective and efficiency supply chain delivery process and system. That means where it will make sense to have daily delivery, we will have it, but daily delivery is not an answer by itself. Delivery scheduling is a means to provide the stores with what they need to satisfy the customer. Field delivery will not be justified for every store. We are looking at delivery frequency, end market availability, outgoing frequency and evaluating which combination is the best local market answer to enable us to serve our customers most effectively. Second, outstanding customer service. We are laser-focused on achieving excellence in commercial through flawless execution. Unlike the retail side of the business, our interactions with commercial customers take place on a daily basis. We believe we do a great job focusing on commercial and we will naturally build the availability and the can do attitude in the stores will also help retail. With average commercial sales of approximately $730,000 per program, we are already among the industry leaders, but we can do more as we shift our identity from a retail culture to a commercial focus. We know that as we do a better job servicing our commercial customers, we will then drive frequency. To be clear, while it will be a commercial-first organization, we will not lose focus on DIY. Commercial is our most significant growth opportunity, but we believe our commercial focus will have synergistic benefits to DIY because the same fundamentals apply across the businesses. We continue to be focused on growing our Speed Perks membership program and satisfying our DIY customers through our knowledgeable team members in well-placed locations. In 2016, we will be investing to further develop great commercial field and store teams, deliver focused sales and service execution and scale key programs such as our strategic accounts and membership programs like TECHNET and Pro Rewards. Our third pillar, having focused and aspired team is about inspiring and powering those teams by providing them incentives and support that positions them to win. Our first step is to provide our teams with broader authority as business owners. We are improving our communication approach to support the sales organization versus an operational organization. As part of this, I engage directly every quarter with our field organization leadership to address business priorities, yield centric leadership and changes throughout the organization in an unfiltered manner. I want to make sure they hear directly from me about our goals, expectations and challenges as we develop greater accountability and transparency across the organization. In addition, we're positioning our stores to have a simplified and customer focused operating model. We are also working to limit disruptions across the system so our store and regions can focus on the vital business priorities we have ahead of us this year. We are also testing new compensation approaches to support fuel centric ownership mentality. As we execute against these three pillars we are focused on continuing to drive improvements across the organization to deliver profitable growth. Let me clear, but we see opportunities to take cost out to improve efficiency that does not affect the customer experience. We will move in an aggressive pace and prioritize our actions accordingly. This means not only capturing remaining cost saving synergies we highlighted but continuing to look for other ways to further reduce costs. It means examining structural changes to optimize our supply chain such that our plans to open a new DC in Nashville Tennessee and close our DC in Southern Massachusetts. We will continue to focus on improving productivity and profitability across our strong base. We are now applying a higher threshold of performance acceptability to stores and continue to look at all parts of our business to improve returns. We expect to take further actions to address underperforming assets and unnecessary costs. We will make sure to analyze all customer facing cost saving opportunities with a strong balance towards improving service levels. We are looking at all areas and want to make the best decision possible. This work does not happen overnight but we will follow the analysis where it leads and take the appropriate steps to continue to improve performance and drive value. The bottom line is clear, we must drive improved profitability as we grow our topline. Our comps will grow up and our customers can rely in us to get them the parts they want, when they want them. We must execute flawlessly for the customer by becoming a commercial first business with leading parts availability, great teams and efficient operations. Turning to our outlook for 2016. We expect modest topline growth driven by comparable store sales in the low single digits. We also expect to open 65 to 75 new stores including four to six Worldpac branches and one new Worldpac distribution center. At the same time, we are maintaining tight control over costs and we are laser focused on achieving stated 12% adjusted operating margin goal for 2016, which is not changed. In closing, the changes we are making to our organization are both real and substantial. We began to make the shift to operating our businesses more locally and will keep advancing that agenda. Our teams know our customers best and they’re embracing their new responsibilities as we drive more local decision-making. I've been equally impressed with the pace and commitment in which our store support center teams have enthusiastically shifted decision-making. I see the responsibility in some cases while accepting greater accountability in others with a singular focus on winning the market. I'm also encouraged by the ability of our organization to learn and adapt. Ensuring we don't repeat mistakes of either action or inaction. We are making the right decisions to change our profit formula to yield better outcomes. Finally, before we open up to your questions, I’d like to take a moment to thank all of our team members for their continued focus and commitment to customer service. With that let’s open up the call for questions?
Operator: [Operator Instructions] Our first question comes from Simeon Gutman of Morgan Stanley. Ma’am your line is open.
Simeon Gutman: Thanks. Good morning. First question is, can you comment on how Q1 is running and if you're seeing some improvement? Is that attributable to weather getting better or something strategic, meaning execution is starting to get better?
George Sherman: If you look at Q1 so far sequentially we’ve seen some progress but it is not up to what our expectations are right now. We started of flat, we’re actually in a period now where we’re going up against our strongest comps from last year. So we are seeing some moment we expect more we have a plan that we intend to execute throughout the year. So we're not sitting back hoping for the weather to change we are executing fundamental execution issues that we think will affect our business really around the availability in service areas. So early on really premature call again we’re only a period or so into the year but we have every expectation that we’re going to begin to get them up to our expectations.
Simeon Gutman: And I will ask my follow-up and just a clarification on what - on that as a question. The improvement you're seeing in - or you said flat but not up to your expectations. Is that in weather markets getting better or did you see maybe something that at the margin on execution get better? And then my real follow-up, is if you talk about the distribution model the supply chain, do you feel any different about how it positions today or and functionality when you bought it anything capacity Howard said of geographically your ability to service the entire store base?
George Sherman: I’ll start with the sales Simeon and say that just broadly again, we’re seeing obviously pockets of strength and pockets of weakness as we always do. So there is always going to be some variability geographically but broadly still not where we wanted to be. Still we’re working on improving it overall. From a supply chain standpoint, the biggest change we've seen so far and we’ve mentioned this is obviously we have 1300 stores now from advance that are on multi-day delivery and we've made changes to the - upgrades to the AP network in terms of DCs. We've also put capacity adjustments in some of the Carquest distribution centers as well.
Simeon Gutman: Okay and just to clarify, if I'm not cut off, then back to the comp question. As you note, comps are to be expected to be flat - I'm sorry, positive low single digits by the end of the year. Is it a sequential ramp or is it very back-end loaded by the way you guys are modeling it out?
George Sherman: It’s not back-end loaded, it’s a sequential improvement along the way, it has to do with obviously some of the trends from last year that we're going up against but it has more to do with the initiatives we are executing.
Operator: Our next question comes from Michael Lasser of UBS. Sir your line is open.
Michael Lasser: Thanks a lot for taking my question. It's going to be about bridging the margin from the 10.2% that you achieved in last year to the 12% in 2016 so you're going to need about 180 basis points of expansion. It sounds like you're going to get 100 basis points from the cost reduction initiative, another 50 basis points from the synergy realization. And then are we to assume the last portion is from gross margin expansion and how visible is that SG&A improvement that you are expecting for 2016 so if your sales fall short of your expectation, what's the sensitivity to your margin if that happens?
George Sherman: Obviously our plan is for 12% which we recognize - we are clearly improvement mode on. So it requires a combination of working the cost lever, working gross margin and clearly, there is a levers component to it as well. We've gone to great efforts to work hard on the cost components of this and we’re working equally or doubly hard on sales right now. Cost we can control right away, so we’ve made some improvements and you're right we're going to take a big chunk out of our cost structure. And we're going to continue to look for ways in and begin to find more and more of it. So we’re not stopping at 100 basis points or stopping at any one fixed number we keep looking to fund more and more cost to take to streamline this operation build efficiency and really frankly limit the amount of work load that it gets send on to our stores. So we will make adjustments on a lower comp if that in fact is would happens, we do clearly have expectations around leverage as part of this - a part of 12%
Michael Lasser: And George, it sounds like it’s part of the margin expectations; you are anticipating some benefit from a change in the store operating model and the pilot of the change in store compensation model. What have you seen already from those tests and how quickly do you expect that you will be able to roll them out?
George Sherman: From a store operating standpoint Michael we are beginning to see some change especially from the empowerment initiatives. So I think one of the biggest things that we're working on right now is a quick move toward fuel centricity. We recognized that we won very, very local businesses and they are all unique in their own way. We feel that we can get things 90% plus right out of the support center but we’re empowering our teams to take up the rest of the way to 100%. So they now have more and more autonomy over adding SKUs to their assortment and adding more product to the supply chain system. We think that will have some of the most immediate benefits. The single selling model is you know we are in sustained mode on that one. The team is becoming more and more comfortable with it and we believe that fundamentally is the right thing to do is serve all customers that walk in or call our stores. And as a business that's been quite outspoken about being commercial first, everyone needs to be willing and able to be pick up the telephone and help the commercial customer or hop into a truck and make a delivery. So we're pleased with that aspect of it. The compensation pilot is just that. It's a pilot in a limited amount of stores that is not having much impact nor it is intended to right now across the entire chain of stores. It’s a learning event for us right now and my focus is to get the empowerment to the field that allow us for a true sense of business ownership before putting in a compensation system that rewards business ownership.
Operator: Our next question comes from Seth Basham of Wedbush Securities. Your line is open.
Seth Basham: Thanks a lot and good morning. Just to follow-up on some of the earlier questions to make sure I understand your bridge from where you're running right now with comp store sales-wise to a low single digits. In terms of the largest drivers of that improvement, does it have to do with how you're going about changing the skew availability to stores or there are other support initiatives that you have that you think will be the drivers here?
George Sherman: It's a combination of both. So if you ask is it SKU availability, we're going to absolutely say yes to that question every time. Our business fundamentally is quite simple, a customer asks us if we have the part and can we get it to them quickly and that is how we operate and that's how we rum and that's how we will drive comps over time. So yes to having the part is absolutely critical for us and getting availability right and we feel that we’ve made some good progress on that is absolutely job one for us. That being said there are the initiatives that have an impact on comp sales during the course of the year. Certainly our consolidation of Carquest Stores will impact our comp sales. The Speed Perks Program at 10 million members will impact our comp sales. More investments in inventory and hubs will affect our comp stores and the move to multi-day delivery will affect comp sales as well. So we have a waterfall of activities that we’ve built up that we think will drive comp sales methodically but clearly it starts with availability.
Seth Basham: Okay. Good. Thank you and just a follow-up to that. Do you think about your progression in comps in 2015 and the deterioration over the year? When you diagnosed that, how much of it is due to lost customers on the commercial side and where do you think your ability us to win back those lost customers?
George Sherman: I probably make a distinction Seth and say that its lost business on the commercial side as opposed to lost customers on the commercial side. If we lose some of course we did, we know that. But we point to categories like our strength in brakes as an indicator that we still have a healthy base of commercial customers who are still buying from us. We need to sell them the entire car. So, going back and just trying to re-establish connections with customers is difficult but trying to expand our base of business with existing customers is a more attainable objective certainly.
Operator: Our next question comes from Scot Ciccarelli of RBC Capital Markets. Your line is open.
Scot Ciccarelli: Good morning, guys. So last quarter, you guys referred to roughly 10% of your sales base comping down over 10%. That was the 120 basis point drag you referenced and I think the suggestion was those stores were undergoing significant changes but you've also referred to stores in markets that comp in the mid- to upper single digits where they have undergone all the changes and the businesses had a chance to settle into a natural rhythm. I guess what I'm curious about is better understanding the cadence of sales changes in a specific market. In other words what happens to comps when the changes first start? How long do these disruptions last? And then when do you start to see the improvements? And I know that there's a bunch of different items that have been obviously along the way.
George Sherman: Yes, thanks, Scot. Good morning. Let me try to take that in sequence. I think if you look at first of all, our comments around what you’re describing our outlier stores, which was a group of stores that disproportionately affected our sales miss, couple of actions there. Number one, as we previously mentioned and mentioned in the script, we closed some stores during the course of the fourth quarter. You can fully expect that there were among those bottom 10% performers. So that’s a small group of stores, and that’s not the entire difference. We also are moving into a period right now where we are currently executing accelerated consolidations of poor performing stores. So in this case, specific Carquest stores that were not meeting our expectations that we have now begun to consolidate into Advance Auto Parts stores and that will solve for another tranche of the stores. There are still outlier stores and there will be. So our field teams has continued to work on the performance of some of our outliers. As you look at the consolidation or the market conversions and looked at results, we are generally pleased and we are pretty much pleased across the board. So that number, that initial number that you referred to clearly inflated due to the Carquest conversions. So once the market begins to undergo conversion, there is as you would expect a negative sales impact. And it really lasts for anywhere from five to six weeks. So we see this period of about a month to a month and half when there is actually physical construction going on in the stores, team members are changing, parts are changing in some cases that we see comps go down, and then we see it ramp back up. And our effort has been to take that time period and compress it as much as possible and we have. So in the early consolidations, it was a longer period of time. So we have seen that narrow down pretty nicely overtime to the point where and obviously, we will work to continue and improve that to be shorter and shorter. But it’s about five to six weeks that there is a negative impact and then the store begins to merge with better results, and then generally shows up in the form of double-digit comps, showing up clearly in consolidations and anywhere from single - mid-single to high-single to up to double-digit comps in our conversion stores.
Scot Ciccarelli: And so are there an - George, are there any markets where you have done the conversion, but haven't seen that kind of result?
George Sherman: You know, of all the conversions that we have done, there are one, maybe two markets where it’s been strictly limited to just conversion, not consolidating two boxes, but just conversion that we have seen flattish results and that we are working to improve. By and large, the overwhelming majority of the markets have had kind of results that we wanted.
Scot Ciccarelli: Got you. And understood. And then secondly, payables to inventory ratio, it's obviously a huge cash flow driver for your industry. You guys are still performing well below your direct peers. What's the right way to think about that kind of ratio going forward and the impact on the cash flow? Thanks.
George Sherman: Yes, look, we obviously want to work to continue to drive our AP ratio. We will focus on taking inventory out. We do have some specific vendor focuses. So as you look at our AP ratio, you look at our base of business, we have a fairly targeted list of those that we are negotiating with to make some changes on AP ratio. At the same time, we are being very clear that availability is job one. So we don’t want to send mixed signals to our team. We have got to be in stock, we have got to have the parts that the customer wants when they want it.
Scot Ciccarelli: Okay, thanks a lot guys.
Operator: Our next question comes from Dan Wewer of Raymond James. Sir, your line is open.
Dan Wewer: Thanks. George, on the sales lift in the conversion stores, I guess you're calling out 5% to 12% increases, is that primarily the do-it-yourself revenues kicking in with the availability of the advanced do-it-yourself assortment in those Carquest stores or is it the commercial revenues picking up?
George Sherman: Dan, it’s a combination of both. So when we talk about our conversion store, we are simply rebranding. We are going into Carquest for making it an Advance Auto Parts store. We are enhancing the sales floor in those cases. So we do see and we do expect to see a DIY lift in those stores and we have been seeing it. That said, that brings an additional commercial business as well, so we have been pleased on both fronts. But you’re right, as we convert stores, our real expectation is around trying to bring a little bit of DIY to a store that’s historically not had.
Dan Wewer: And on the consolidation, so are you still seeing 70% to 80% of the commercial business in that consolidated store transferring to the remaining Advance store?
George Sherman: Yes, we’re Dan, 70% closer to the right number.
Dan Wewer: And of the 325 to 350 consolidations and conversions for this year, how does that split out between the two? I know the economics are very different between a consolidation and a conversion but so how would that split out between those two types of projects?
George Sherman: Roughly 50-50.
Dan Wewer: 50-50. And then the last question I have, on the expense reduction goal of 100 basis points, and then if you assume that, that 50 basis points of the synergies, maybe that flows into expenses as well, that would imply that expense dollars are roughly flat, it looks like in 2016 compared to 2015 adjusting for the 53rd week. How much of that’s already been achieved through closing the 80 underperforming stores through the consolidations at the corporate office. How much of that expense savings has already been achieved and how much of it has yet to be achieved?
George Sherman: Dollars are actually down, so not flat, but down the last year, and we continue to accelerate on that and look for more opportunities. And I want to be clear, we won’t do things that’s caught in a sales muscle. So when we talk about SG&A, we are primarily talking about G&A and we continue to look for more and more opportunities, but if we make substantial progress, dollars will be down.
Dan Wewer: So the biggest variable in achieving the 12% EBIT rate, whether or not you achieve that, really is a function of whether or not the comps are flat or maybe up 2%. And then to a lesser extent, whether or not you can deliver on the gross margin gain, it sounds like the cost reduction, therefore that's - there's no way that you can miss on that.
George Sherman: Yes, we know the size of the improvement that it represents, 10% to 12% and it certainly would be aided quite a bit by the top line that we expect. So the leverage portion of this is important, but we have clearly over-indexed on the expense side.
Dan Wewer: Right. Okay, great thanks and good luck.
Operator: Our next question comes from Greg Melich of Evercore ISI. Your line is open.
Greg Melich: Thanks. Good morning. I wanted to make sure I understood the charges, Mike that you outlined and sort of what's incremental and what was in the plan and what I should compare that to. So the incremental $75 million to $90 million of charges, would that compare to what was $127 million in 2015 and $82 million in 2014?
Mike Norona: Yes, so Greg, we gave an outlook of $75 million to $90 million and $65 million to $75 million of that would be comparable to the last year portion and those relate to the market conversions, and the IT projects around the catalog and the store systems. So those are primarily the driver as we think in 2016, and those are comparable to the one-time cost we would have seen last year. And then the $10 million to $15 million is our supply optimization work that really gets going this year and a big driver of that is the Sutton DC that we are going to be closing down this year.
Q - Greg Melich: Got it. And my follow-up will be going back to the sales trend, George, which is, do you have a - what really happened with DIY versus do-it-for-me in the quarter? You gave some nice category issues in some of the regions, but if you look at basically what were the two sides of the business or what were the sales, however you want to cut it.
George Sherman: Yes, I mean, really we had softness in both sides of the business and when we talk about weather, which we don’t like talking about, that clearly represents more of an impact on DIY in specifically a category like batteries. So we had some great strength that we went up against in batteries and we didn’t see the cold this time around and that just based on the one line alone has a pretty significant impact on the DIY business, but it was both parts, weather on the DIY side.
Q - Greg Melich: And, Mike, just a follow-up to the previous one, just do you have an EPS range guidance that falls out of this? I mean, if you just take the margin and the comp, you get to something like $9.50, at least that's my back-of-the-envelope math, but am I still missing something there?
Mike Norona: Yes. So I am not going to comment on that, Greg, but what I will tell you is, we gave today - we gave in the release, our assumptions and they reflect the most important outcomes that we are focused on this year, which is improving our profitability and improving our sales and we remain committed to our 12% target. Given the variability and the range of our comps, and trying to predict where we will fall in that range, and as we are building momentum, and also the structural moves that we are going to continue to do to improve to move to more field-centric and localized business, we have chosen not to try to predict an outlook range. But we think we have given you the assumptions that reflect the outcomes that we are expecting this year.
Q - Greg Melich: Great. Thanks. Good luck.
Operator: Our next comes from Tony Cristello of BB&T Capital Markets. Your line is open.
Tony Cristello: Thank you. Good morning, thank you for taking my questions. First part is a bigger picture. You talk about the field-centric approach, and two of the categories being availability and infrastructure. And what I'm wondering is how much does 2016 cover for those two buckets versus how much will be left to get you where you really want to be in 2017 and 2018? And I'm just trying to understand, is this a shift in terms of trajectory of where you were taking your business and is it now another two or three years to get you where you need to be?
George Sherman: No, Tony. It’s George, I’d call it a stair-step approach. I mean, we have been talking about customer, our field centricity for well over 18 months, we have just accelerated our pace pretty substantially. So I would not look at this as a multi-year rebuilding process, but I will look at it as an evolution that’s already begun and that we have taken very substantial steps toward accelerating in the past quarter. So it really is - I mean, we are not trying to flip how we buy our inventory merchandise. We are simply giving our team in the field an ability to take a limited portion based on what they see as specific need for their customers and get it right, and we just don’t feel like 5,300 times over. We can have a level of exactitude out of those office that reflects what’s happening in the field and we want to empower our field team to make - to put in those difference makers to get it from maybe 90% to 100% correct. So hyper local business, especially for commercial and we feel like the team needs to have a say on how they are assorted, what the quantities look like, because they know the changes to the businesses faster than our systems were able to detect them.
Tony Cristello: And then on that, so it sounds like the systems, going into next year should be in place for what you need?
George Sherman: Yes, I mean, I think the systems are very quickly falling in the place right now. So we are moving very, very fast on this, again, we do not look at this as a multi-year project, we look at this as a shift in some decision rights, we look at this as being a more effective listening organization and we think it properly orients around our whole what matters most, which is our customer and our store teams.
Tony Cristello: Okay. And then I guess the one follow-up here is on the infrastructure. Do you have an update on how you would see this infrastructure best in place to meet the needs of fulfilling and availability? I mean, what changes still remain in order to get you the fill rates that you're still not at?
George Sherman: Yes, Tony, I think if you look at multi-delivery for instance, we said I think that we would try to tailor that to our specific customers’ needs and there is a formula in every market that we think is the right outcome that's best to serve our customer. That maybe 5X delivery, that could be 3X delivery. That may be five hub runs a day. That may be seven hub runs a day. That may be an in-market super hub, may not be. So it is just, it is calibrating our market needs to the needs of the customers, the pace of the commercial business and making sure that it’s right. So we still continue to work to the formula, we feel great about some markets and we clearly recognize that we have opportunities in other markets.
Tony Cristello: Okay. But you have enough distribution capacity in place, it's just reworking that or do you still think you're going to need to be adding as we move forward?
Mike Norona: We have the infrastructure in place, we will upgrade three DCs in 2016. So we will begin to add further capacity to those facilities. We’ll also add seven new superhubs in 2016. So we will look and we will find those market opportunities where they exist and will make those changes, but largely we feel we have the infrastructure in place.
Tony Cristello: Okay, great. Thanks for your time.
Mike Norona: Thank you.
Operator: Our next question comes from Matthew Fassler of Goldman Sachs. Your line is open.
Matthew Fassler: Thanks a lot. Good morning. My first question is just to quantify the number of stores that are in that, the conversion markets that are generating those mid-single digit to high single digit increases and then just to quantify the number of stores that you would expect to enter similar stage of integration or emerge from the similar stage of integration in ‘16?
George Sherman: Matt, we’ve touched roughly one-third of our stores with the conversion consolidation relocation activity. So, about a third of the Carquest stores that needed to be addressed. We will hit 350 more this year and as I mentioned earlier, about a 50-50 split between conversions and consolidations. So some of those will just merge with an Advance store and drop onto the system.
Matthew Fassler: So the rough number of stores, that's comping mid to high single, are you saying that's a third of the Carquest stores?
George Sherman: It's not quite that high of a number. Remember, we'd done 100 early consolidations, then we did during 2015 and we will do about 175 more in 2016. These are conversions.
Matthew Fassler: So it's about 150 of the stores in the chain, but not those numbers.
George Sherman: Yeah.
Matthew Fassler: Okay. And then my second question, just big picture philosophically, you seem to have two big efforts happening simultaneously. The first is the conversion of the Carquest chain and then the upgrading of execution on a number of levels? And the second is an effort to take out costs. Now understanding that you've got an SG&A ratio opportunity versus some of your peers, it seems like those two efforts are somewhat or can be somewhat an opposition. It's certainly much harder to improve execution and generate topline as you're taking cost out of the business. Is there a thought to focusing on the operational improvement to stabilize the topline prior to accelerating those cost reductions?
George Sherman: Matt, there is an effort to separate the taking cost off from affecting the topline. So we are looking very much non-customer focused activities, so take things like indirect procurement. Areas of the business like that. Looking at the store portfolio as we've done, take out ineffective assets along the way. We are laser focused on improving topline performance, that is absolutely job one and we feel that we have our field team on the point for that. Field team drives the sales improvement and the corporate team is here to support on the cost outside, we've gone more towards G&A and the corporate teams take more of a lead in that activity. So we think that they are compatible. We absolutely will not let ourselves cut in the muscle that affects sales ability.
Matthew Fassler: Got it. Thank you so much, guys.
Operator: Next question comes from Chris Horvers of JPMorgan. Your line is open.
Chris Horvers: Thanks. Good morning. So first, a clarification question on the comp side. So you mentioned the cadence. Curious if the New Year's and leap day - New Year's shift and the leap day affect the first quarter? And then I have a deeper question.
George Sherman: They don't.
Chris Horvers: They don't. They offset each other's. So the low single digit for the year doesn't include any benefit from the calendar?
George Sherman: That's correct.
Chris Horvers: Okay. And then you mentioned the geographical dispersion in comps. For the Southern and Southeast markets and broadly, the non-cold-weather markets, did they actually comp positive? And how was the sequential performance in those markets relative to the third quarter because it sounds like in the in-store inventory availability did get better, certainly from a very low point earlier in the year.
George Sherman: If you look at, I think we call that our strength areas. Certainly the Southeast was among our stronger markets. Look at areas like Charlotte, Atlanta, Tennessee, some were better performing markets. As for the improvement in availability, we talked about adding inventory on our last call, which was to happen during the course of Q4. So from a sequencing standpoint, I wouldn't look at it as though it dramatically improved the moment we've said it, but that over the course of the three months between calls, you saw more and more inventory come into the system.
Chris Horvers: Okay. And then as a follow-up, if you go back to what it sounds like Carquest was comping or growing sales at on a per store basis prior to the acquisition, it sounded like they were - it seems like they were ones and twos and certainly since this acquisition, it seems like that's deteriorated. So can you talk about - that sounds like shared loss. So is there something structural about Carquest that's driving that share loss that part of the investments that you're making into those stores and into the supply chain are meant to fix? Thanks.
George Sherman: Yeah. I would call the trend of Carquest pre-and post-integration to be relatively comparable. It's about the same as it was before. There are many Carquest stores that we're not investing in at all yet. There is still work done on the road. So I don't believe that there is anything that's caused anything meaningful kind of change in Carquest trajectory by virtue of the integration. Maybe there are stores that we've gone in physical construction. So those conversion stores did see that six-week impact on sales that I mentioned earlier, but then a lift afterwards. But as far as a broad-brush trend of Carquest stores having lesser performance than pre-acquisition, that's not the case.
Chris Horvers: Okay, but I guess the relative performance to what your commercial experience was or what Auto Zones or O'Reilly are not that it seems like they were underperforming so it was - was it the lack of DIY, was it the lack of investment by the prior management team? What would you diagnose that underperformance in that in those stores relative to the industry?
George Sherman: Yes. I call it the latter, I mean, I think that if you look at their performance pre-acquisition, relative to the main competitors, that is correct and that there was certainly particularly in the couple of years prior to acquisition some reduction in investment.
Chris Horvers: Understood. Thank you.
Operator: Our nest question comes from Daniel Hofkin of William Blair & Co. Your line is open.
Daniel Hofkin: Good morning. So just a couple of clarification questions to what's already been asked. As you are looking at 2016, can you discuss what you expect the trajectory to be for comps in both segments of the business? Seemingly, the commercial business was - would be very - if it has more room for improvement. Do you expect that to outcomp DIY in 2016? Just give us kind of a relative sense for how those fit against that low-single-digit overall comp. And then can you just, based on the low single digit, obviously that is a range. I get that but what does that imply for total sales as a range, total sales dollars given that you're going to be opening and consolidating a bunch of stores?
Mike Norona: Yes. We are not going to comment too much on mix between DIY and commercial, but I will just reiterate that commercial is going to be our primary sales driver. So no question that it is slanted more toward an investment and a focus around the commercial business, while trying to maintain as much DIY as we can.
Daniel Hofkin: And then I just - I may have missed it earlier. I don't know whether you addressed this. Is there any update at this point on the search for a permanent CEO?
Mike Norona: Yes. There is not an update. The board is diligently doing what they consider to be one of their primary roles, which is the CEO search. It is going on. And here, in advance, we're driving ahead with the business and there is no question about leadership.
Daniel Hofkin: Okay. So no comment regarding expected timing of an announcement in either way?
Mike Norona: Correct.
Daniel Hofkin: Okay. Thanks very much. Appreciate it.
Operator: Our next question comes from Mike Baker of Deutsche Bank. Your line is open.
Mike Baker: Thanks. I want to ask about the 12% operating margin. So I guess it's going to be one question in three parts. First, so you first talked about that 12% margin I think on the second quarter call this year. I think since then, the last two quarters haven't been great quarters. So I guess where are you right now in the progression to that 10% to 12% margin versus where you thought you would have been when you first talked about it six months ago?
George Sherman: Mike, we've made progress on the comp area for sure. So if you want to look at the primary areas that we're showing traction on, it's cost reduction, part of which was reflected in some of the Q4 results, which we weren't happy with. But we’re making progress in our cost structure, we have an issue in place on margin and we certainly intend to change the comp trajectory and that last part is actually job one.
Mike Baker: So is the cost savings enough to offset the sales weakness such that at the end of 2015, you were where you would have thought you would have been or does the weakness in the second half of this year require an even better 2016 than you would have thought six months ago?
George Sherman: Yeah. The weakness in 2015 gives us a little bit more of a target. I mean, that's just the fact of the matter. So we have a little bit more work to do, little bit more wood to chop on it, but the same principles remain, meaning it is taking aggressive cost out in the right places, accelerating our comp sales and expanding our margins.
Mike Baker: Okay. Understood. Part two. That was only part one. Part two would be, how should we think about this quarterly? I mean, it's 180 basis points. That's a big number. Do we expect to see some of that in - as early as this current quarter or is it going to be not as much improvement earlier in the year and then hundreds of basis points in the back half of the year?
George Sherman: Yeah. Mike, we will build throughout the course of the year. With that said, our quarters aren’t equal. So obviously, if you look at a quarter like Q2, that is a critical quarter for us, relative to Q4, which is less so.
Mike Baker: Okay. But again, should we expect to see some improvement, at least close to that range as related to this current quarter?
George Sherman: Yes. We should.
Mike Baker: Okay. Last one. This is just a clarification because I think people have said it differently in some questions so I just want to make sure. The SG - sorry, the synergy saving of $50 million, that's part of the 100 basis point cost savings or that's in addition to the 100 basis points of cost savings?
George Sherman: It's part of the cost savings.
Mike Baker: Okay. So it's 100 basis points on SG&A and then presumably 80 basis points on gross margin. Is that right?
Mike Norona: Not exactly. I think George, if you look at what we said before, I think George said it earlier, 100 basis points of SG&A and roughly in that 50 basis points and then a little bit of leverage is what we said, but we haven't given a specific on gross margin, but we have given specific on SG&A, which is in the 100 basis point range.
Mike Baker: Okay. Okay. Thanks.
Operator: At this time, there are no further questions. I will turn the call back to Zaheed Mawani for any final comments.
Zaheed Mawani: Thank you, Cheryl and thanks for our audience for participating in our fourth quarter call. That concludes our call. Thank you.